Operator: Good morning and welcome to the AGCO's Fourth Quarter 2023 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. And now I would like to turn the conference over to Greg Peterson, Head of Investor Relations. Please, Greg, go ahead.
Greg Peterson: Thanks and good morning. Welcome to those of you joining us for AGCO's fourth quarter 2023 earnings call. We will refer to a slide presentation this morning that's posted on our website at www.agcocorp.com. The non-GAAP measures used in the slide presentation are reconciled to GAAP metrics in the appendix of that presentation. We'll also make forward-looking statements this morning, including statements about our strategic plans and initiatives as well as our financial impacts. We'll discuss demand, product development and capital expenditure plans and timing of those plans and our expectations with respect to the costs and benefits of those plans and timing of those benefits. We'll also discuss future revenue, crop production and farm income, production levels, price levels, margins, earnings, cash flow and other financial metrics. All of these are subject to risks that could cause actual results to differ materially from those suggested by the statements. These risks include but are not limited to, adverse developments in the agricultural industry, supply chain disruption, inflation, weather, commodity prices, changes in product demand, interruptions in supply of parts and products, the possible failure to develop new and improved products on time, including premium technology and smart farming solutions within budget and with the expected performance and price benefits, difficulties in integrating the Trimble Ag business in a manner that produces the expected financial results, reactions by customers and competitors to the transaction, including the rate at which Trimble Ag's largest OEM customer reduces purchases of Trimble Ag equipment and the rate of replacement by the joint venture of those sales, introduction of new or improved products by our competitors and reductions in pricing by them, the war in the Ukraine, difficulties in integrating acquired businesses and in completing expansion and modernization plans on time and in a manner that produces the expected financial results and adverse changes in the financial and foreign exchange markets. Actual results could differ materially from those suggested in these statements. Further information concerning these and other risks is included in AGCO's filings with the Securities and Exchange Commission, including its Form 10-K for the year ended December 31, 2022 and subsequent Form 10-Q filings. AGCO disclaims any obligation to update any forward-looking statements, except as required by law. We will make a replay of this call available on our corporate website later today. On the call with me this morning is Eric Hansotia, our Chairman, President and Chief Executive Officer; and Damon Audia, our Senior Vice President and Chief Financial Officer. With that, Eric, please go ahead.
Eric Hansotia: Thanks, Greg and good morning. I'd like to start by taking a moment to thank the AGCO team around the world for their tremendous work in 2023. AGCO's record results are an outcome of the team's laser focus on executing our Farmer-First strategy, where we aim to provide the farmer an exceptional customer experience. AGCO finished 2023 with record full year net sales of $14.4 billion which was up nearly 14% from last year, due to strong pricing as well as outperforming a global market that was actually down in 2023. Record operating margins reached 11.8% of net sales on a reported basis and 12% on an adjusted basis. As impressive as these margins are, I think it's even more impressive to recognize that 2022 adjusted operating margins were just over 10% which was a major milestone for us at that time and another data point reinforcing the strength of our strategy. We delivered those record results, while also increasing our technology development efforts with engineering expenses up over 20% in 2023 compared to 2022. Over the last 3 years, our R&D spend is up over 60%. Those investments are producing an increased technology patent group for AGCO, award-winning products for our farmer customers and record financial results for our shareholders. Turning specifically to the fourth quarter. Our results reflect the strength of our increased global diversification. Strong performance in Europe and North America helped mitigate generally slowing market demand, particularly in South America region. AGCO's net sales were down 2.5% and operating margins were down 160 basis points year-over-year. Significantly increased competitive retail activity in Brazil with a rapid deceleration of demand in the quarter as well as significant retail incentives put pressure on our results. Damon will touch on competitive environment in Brazil in more detail. More challenging global market conditions are expected in 2024 due to reduced commodity prices and modestly lower farmer income expectations. As a result, AGCO is forecasting lower sales in 2024. We remain focused on growing our Precision Ag business, globalizing our full line of Fendt branded products and expanding our parts and service business to mitigate some of the softening industry demand. We've also sharpened our focus on manufacturing cost-reduction opportunities, SG&A expense efficiencies and lowering company and dealer inventory. As a result of this focus, coupled with the structural changes we have made to our business, we expect that our operating margins will be more resilient than in past cycles. In fact, our outlook of 11% operating margin for 2024 would be significantly higher versus the last time we experienced those projected industry levels in 2019 and 2020. Finally, we will continue our investments in premium technology, smart farming solutions and enhanced digital capabilities to support our Farmer-First strategy, while helping to sustainably feed the world. Slide 4 details industry unit retail sales by region for full year 2023. Farm income was down modestly across the major regions in 2023 and another modest decline is projected for 2024. Much of the industry fleet has been refreshed over these last 3 years and dealer inventories have been restocked. Full year global industry retail sales of farm equipment in 2023 were lower in AGCO's key markets. North America full year industry retail sales declined approximately 3% compared to the previous year. Lower sales of smaller equipment, more closely tied to the general economy, were partially offset by strong growth of high-horsepower tractors and combines. Lower projected farm income and a refreshed fleet is expected to pressure industry demand in 2024, resulting in weaker North America industry sales compared to 2023. Industry retail tractor sales in Western Europe decreased 4% for the full year of 2023 compared to the high levels in 2022. Further declines in industry demand are expected in 2024 as lower income levels pressured demand from arable farmers, while healthy demand from dairy and livestock producers is expected to dampen some of the decline. South American industry retail tractor sales decreased 8% during 2023 which is a steep drop from our 2% to 3% decline that we had expected. Retail demand in Brazil was negatively affected by funding shortfalls of the government subsidized loan program, especially for smaller equipment. In addition, adverse weather conditions in certain parts of Brazil and lower commodity prices, especially soybeans, further constrained retail demand in the quarter. Following 3 strong years, retail demand in South America is expected to further soften in 2024 as a result of lower commodity prices and farm income. The combine industry was up modestly in North America and Western Europe in 2023 versus 2022 due primarily to improving supply chains. Combines in South America declined 17% in 2023 compared to the prior year. Although market conditions continue to soften from the extremely strong conditions over the last couple of years, we remain positive about the underlying ag fundamentals, supporting long-term industry growth. Stocks-to-use levels are higher than recent lows but they remain supportive of profitable commodity prices versus historical levels. As the demand for clean energy grows, the need for solutions like sustainable aviation fuel and vegetable oil-based diesel will grow strongly, driving demand for our farmers that will further support commodity prices. When you look at just renewable diesel, we're seeing that in the U.S. by 2025, renewable diesel demand could grow to consume about 40% of the current U.S. soybean crop. That's very similar to what has happened with ethanol consumption of the corn acres. So there's a big demand growth driver right on the horizon here. Also input costs such as fuel and fertilizer are down from their peaks in 2022. We expect farm income to be down modestly in 2024 relative to 2023 but above long-term averages and still highly supportive of industry demand. AGCO's 2023 factory production hours are shown on Slide 5. Our production decreased in the fourth quarter by approximately 10% versus 2022. Recall that 2022's fourth quarter production was exceptionally high as we were recovering from the cyberattack and reflect the actions taken during the quarter to better align production with the current demand outlook. Even with this change, the full year production was up 4% versus 2022. Looking to 2024, we are aggressively managing our company and dealer inventory to match the softening retail demand. Our dealer inventory levels are at or above targeted levels, so some reductions will be required in 2024. Currently, we're expecting around 10% lower production in 2024 versus 2023. This reduction reflects our 2024 market forecasts, market share growth assumptions as well as targeted reductions to dealer inventory. As of the end of December 2023, demand for our products remained strong. In Europe, tractors had between 5 and 6 months of order coverage. Now this is approximately 40% below December 2022 levels but still roughly double our historical average. Dealer inventories are slightly above our target level of 4 months in the region, with certain products like Fendt high-horsepower tractors still below the optimal levels in certain areas. In South America, we have order coverage through March of 2024, where we continue to limit our orders to around 1 quarter in advance. With the competitive price pressure in the region, particularly in quarter 4 2023, we now have higher dealer inventories than desired which is slowing AGCO's sales into the dealer channel. We have just over 4 months of dealer inventory on tractors and 6.5 months of dealer inventory of combines, while our target level is around 3 months. In response, we have reduced production in the region and plan to continue managing production levels to match demand. In North America, our orders for track tractors, planters and application equipment are fully booked for all of model year 2024. That takes us to around the mid- to late summer period. We have returned to a continuous order rating program on all other tractors as dealer channels have begun to stabilize. We currently have approximately 5 months of order coverage for both large and small ag and 6 months of supply in the dealer inventory in the region. Our target for dealer inventory remains 4 months on large ag and 6 months on small ag. Moving to Slide 6, where you will see our 3 high-margin growth levers aimed at improving our mid-cycle operating margins to 12% and outgrowing the industry by 4% to 5% annually. To reiterate, these 3 growth levers are the globalization and full line product rollout of our Fendt brand, focusing on accelerating our global parts business and increasing the market share of genuine AGCO parts. And the third is growing our Precision Ag business which supports not only factory-fit technology but also significantly focuses on mixed fleet retrofit solutions for farmers and OEMs. 2023 marked an important milestone for each of these 3 growth levers. All 3 of them respectively recorded the highest sales in the company's history. In addition, we also announced the largest ag tech deal in our industry with a transformative joint venture with Trimble which will further efforts in Precision Ag. The Trimble Ag joint venture is still pending regulatory approval and we hope to close the transaction in the first half of 2024. Slide 7 recaps the 2024 Precision Planting Winter Conference which is the 23rd consecutive year of the conference and is absolutely one of my favorite events of the year. This year, the team announced some incredible new products to help deliver improved farmer productivity. We are pleased that some of you were able to join us for this premier event. The conference brought together over 5,600 farmers across 21 locations in the U.S. and Canada but farmers are from all around the world. We demonstrated customizable retrofit solutions for the operational challenges farmer face every day. The theme this year was solutions for every season, illustrating to our farmers that Precision Planting has successfully expanded across the crop cycle and beyond just the industry-leading planters into products and technologies that span the crop cycle. This year, we introduced the CornerStone Planting System which is a complete row unit equipped with the latest Precision Planting technology. Over half the value of a planter is in the steel and chassis components that don't necessarily wear out. CornerStone allows farmers to have the most advanced planter at a lower price point than a new OEM planter, while offering the feel of an OEM finish and integration. This is a tremendous opportunity for farmers to drive increased productivity as we estimate that around 50% of farmers in the U.S. will likely never buy a new planter. We also launched Clarity which is a solution for small grains that provides high-definition detail at a row-by-row level, shows variation in reduction in flow through the air seeder or drill and displays that information on a Precision Planting 2020 Monitor, so the information is right at the farmer's fingertips. Our Symphony Vision system will be commercialized later in 2024 and is our retrofit targeted spraying solution. Symphony Vision helps farmers significantly reduce herbicide applied to a field by spot spraying only the weeds rather than covering the entire field. Not only does this save on cost for the farmer but the environmental benefit from the reduced chemical usage is also significant. Finally, some of you toured our new 510,000 square foot facility in Morton, Illinois, where we've consolidated several sites into one modern facility. This expansion will position us well for the future as we look to grow this high-margin business and be the best partner to our Precision Planting dealer network. This dealer network gives AGCO a competitive advantage when it comes to on-farm expertise and provides customers with a brand-agnostic retrofit solutions, significantly increasing our total addressable market. I'm proud of what our team was able to accomplish as we closed out 2023 and Slide 8 lists some of the major highlights. As I touched on earlier, we've raised our R&D spending by over 60% since I became CEO in 2021. We're seeing the results of increased spend in the number of awards where we continue to win each year. We took on 6 AE50 Awards in 2023 alone and our brands have earned 24 AE50 awards over the last 3 years. We also won 6 awards at Agritechnica Farm Show, the largest ag trade fair in the world. These outstanding achievements help solidify our position as an industry leader in innovation and engineering excellence that advances farmers' capabilities, improves their operations and helps them feed the world. Our technology stack took a big leap forward in late 2023 with several important developments. We announced the pending joint venture with Trimble Ag which will make AGCO a leader in brand-agnostic retrofit solutions. We opened our Scottsdale Acceleration Center to attract talent in the areas of autonomy, precision ag, artificial intelligence and digital products. And we announced the acquisition of digital assets from FarmFacts, a tool that will help farmers improve productivity and efficiency by better managing farm data. We launched AGCO Ventures which formalizes our approach to sourcing and funding new and early-stage technologies to deliver on the company's strategic priorities. This allows us to drive innovation by investing in start-up companies, venture funds, incubators, accelerators, higher education and research institutions. We are also making bold moves with our distribution model. Just last week, we launched FarmerCore, AGCO's global initiative to revolutionize sales and service distribution by combining digital and physical elements to serve farmers how and where they want to be served, on-site and online. FarmerCore is built on 3 pillars: the on-farm mindset; smart network coverage; and digital engagement. The on-farm mindset positions dealers to meet their customers' needs at every stage of the ownership journey. Mobile sales support provides on-farm convenience, while a distributed team of highly skilled technicians with mobile service vehicles save farmers' time and money by maintaining and repairing equipment on site. Smart network coverage includes light retail outlets, service centers and parts-only locations. By matching the retail outlet type to the market, dealers can maximize ROI on physical locations, while optimizing service coverage and increasing operational efficiencies. We strongly believe FarmerCore will help transform our industry and truly put farmers at the center of what we do. With all of these exciting developments, the future is bright at AGCO. There's never been a more exciting time to be in the ag business and our investments will continue to drive innovative solutions that are focused on helping improve farmers' productivity. With that, I'll hand it over to Damon.
Damon Audia: Thank you, Eric and good morning, everyone. Before I cover the financial results, I wanted to take a moment to reflect upon the continued success of our Farmer-First strategy. Slide 9 is an update to the value-creation slide that I presented at our December 2022 Investor Day. The slide does a nice job of illustrating the progress AGCO has made with our operating margins through the cycle over the last several years, as we've continued to leverage our 3 growth drivers and continue to make operational improvements in the other areas of our business. We've raised the mid-cycle equivalent margins every year since 2018 and 2023 was no different. The teams around the world did an exceptional job delivering the record adjusted operating margin of 12%, raising the bar again versus our prior record in 2022. Using our value-creation line helps us provide us a guide to ensure we are delivering the right incremental margins as our market strengthens and flexing our costs down when our markets weaken which will likely be more relevant in 2024. As we look through the cycle back to 2012, this chart demonstrates the benefits of the disciplined execution of our strategy. It's clear that we've structurally improved the adjusted operating margin of our company by over 500 basis points when compared to the average from 2013 to 2018 at mid-cycle. Slide 10 provides an overview of regional net sales performance for the fourth quarter. Net sales were down approximately 4% in the quarter compared to the fourth quarter of 2022 when excluding the positive effect of currency translation. Pricing in the quarter which was in the high single-digit range, contributed to higher sales. By region, the Europe/Middle East segment reported an increase in fourth quarter net sales of approximately 1%, excluding the positive effect of currency translation compared to the prior year. The improvement was driven by increased sales of high-horsepower tractors and strong parts sales, along with favorable pricing. In South America, net sales in the fourth quarter declined approximately 42% year-over-year, excluding the positive effect of currency translation driven by significant pricing pressure and lower sales volumes in the region. All products were down year-over-year except for parts. Net sales in North America increased approximately 7% in the quarter, excluding the favorable impact of currency translation compared to the fourth quarter of 2022. The growth resulted primarily from increased sales of high-horsepower tractors, sprayers and hay tools, along with the positive effects of net pricing. On a constant currency basis, fourth quarter 2023 net sales in our Asia/Pacific/Africa segment increased about 12% driven by large ag equipment and our Grain & Protein business. Finally, consolidated replacement part sales were approximately $401 million for the fourth quarter, up approximately 9% year-over-year or 7% excluding the effects of positive currency translation. Turning to Slide 11. The fourth quarter adjusted operating margin declined by 130 basis points versus a very strong fourth quarter of 2022. Margins in the quarter were mainly affected by higher discounting in the South American region, higher engineering expenses and higher SG&A. These items were partially offset by positive net pricing. For the full year, we realized approximately 10% pricing. By region, the Europe/Middle East segment reported an increase of approximately $48 million in operating income compared to the fourth quarter of 2022 and margins improved 160 basis points. Higher sales from strong net pricing and a healthy product mix contributed to the improvement. North American operating income for the quarter increased approximately $20 million year-over-year, while margins improved approximately 160 basis points. Operating income benefited from higher sales due to positive net pricing and a favorable mix based on significant growth in Fendt products year-over-year. Grain & Protein margins also improved in the quarter, despite lower sales. Operating margins in South America significantly underperformed our expectations in the fourth quarter. Operating income eroded by approximately $119 million versus the fourth quarter last year. The South American results reflect several factors that not only affected sales but also had a disproportionate effect on operating margins. Given the materially lower industry retail demand in the quarter, we experienced aggressive competitor pricing which required us to significantly increase our retail campaigns. With the dealer inventory levels achieving optimal levels in the third quarter, we elected to limit dealer channel sell-in and correspondingly reduce production in our facilities. Although the margins on the dealers' sell-in sales remain strong, the significantly lower volumes versus what we had anticipated resulted in an outsized compression in operating margins when taking into consideration the retail campaigns and the lower factory production levels. Finally, we also recognized a large dealer termination fee in the quarter of approximately $13 million which adversely affected the adjusted operating margin by around 3%. Although the results this quarter were unexpected and disappointing, the South American team has demonstrated significant skill, delivering exceptional returns several quarters in a row and we are confident in the margin recovery as market conditions improve. Finally, in our Asia/Pacific/Africa segment, fourth quarter operating income was equal to 2022 levels, though margins contracted approximately 100 basis points. The lower margins are a result of lower factory production, higher warranty expense and higher SG&A. Slide 12 summarizes our Precision Ag business. As we highlighted before, we are focused on expanding our addressable markets from just traditional agriculture machinery spend which today is in the low to mid-teens as a percentage of total farm spend. With our Precision Ag portfolio, our sights are set to impact around 70% or effectively all non-land areas. We believe that the investments in Precision Ag positions both AGCO and our customers well as it will play a major role in achieving our global sustainability targets currently being established, while simultaneously helping our farmers improve their profitability. For the full year 2023, AGCO recorded $750 million in Precision Ag revenue, an approximately 7% increase from 2022. This was below our target of $800 million to $850 million due to a combination of 3 factors: a return to more traditional seasonal sales patterns as we move past supply chain shortages; the OEM portion of the business slowing; and start-up delays at our new Morton light assembly and distribution facility. We view the return to seasonality and the start-up delays as temporary and we anticipate continued growth in our Precision Ag business in 2024. Including the proposed joint venture with Trimble which is pending regulatory approval, we expect to hit $2 billion in Precision Ag sales by 2028. Slide 13 details our year-to-date free cash flow for 2022 and 2023. As a reminder, free cash flow represents cash used in or provided by operating activities less purchases of property, plant and equipment. And free cash flow conversion is defined as free cash flow divided by adjusted net income. We generated $585 million of cash, approximately $135 million or 30% more than 2022, despite increasing capital expenditures by almost $130 million year-over-year. Our cash flow fell short of our long-term 75% to 100% of net income target due to a couple of factors. First, the timing of year-end, the collections of $150 million to $200 million of accounts receivable, was recognized in early January versus December. Second, the weaker results in South America region also contributed to the shortfall relative to our expectations. We remain focused on direct returns to investors during 2023. In addition to the regular quarterly dividends that we've increased by 21% to $0.29 per share in the payment of the special variable dividend of $5 per share in the second quarter, we also repurchased around $50 million of shares in the quarter to maintain our average shares outstanding. Slide 14 highlights our 2024 retail market forecast for our 3 major regions. Increased grain inventories and related decline in commodity prices are expected to result in softer demand across all regions in 2024 compared to 2023. For North America, we now expect demand to be 10% lower compared to the levels in 2023. The high-horsepower row crop equipment segment is expected to decrease after several years of strong growth that was fueled by high levels of farm income. The small tractor segment is also expected to decrease in 2024, although the rate of decline is slowing compared to the prior years. For Western Europe, we expect that industry to be down 5% to 10% compared to 2023. Farm income is nearing the long-term average for the region due to reduced commodity prices and higher input costs. In South America, we expect industry sales to be down about 10% in 2024. Higher dealer inventories that began to emerge in the third quarter and weather patterns in the Cerrado region and Southern part of Brazil are making farmers more hesitant. Although this may affect demand in the short term, from a long-term perspective, this region remains one of the most attractive end markets, especially in Brazil, where the farm footprint is increasing. While farm income is expected to decline from elevated levels in 2023, we expect farmers to remain profitable in 2024. And AGCO's brand-agnostic retrofit approach to Precision Ag and strong parts business should help dampen the cycle, making our margins less volatile. Slide 15 highlights a few key assumptions underlying our 2024 outlook which does not include the impact of the pending joint venture with Trimble. At this time, we see markets further softening in 2024. Our sales plan includes market share gains, along with pricing reverting back to a more traditional level of approximately 1.5%. As our raw material costs have stabilized and we pursue cost savings actions, we expect this level of pricing will more than offset inflationary cost increases. We do not expect currency translation to have a significant effect on sales year-over-year. Engineering expenses are expected to remain relatively flat in 2024 compared to 2023. With the expectation of our industry declining around 10% from approximately 105% of mid-cycle in 2023 to around 95% in 2024, we would expect our operating margins to come down from the record 12% in 2023 to around 11% in 2024, in line with the value-creation line. Delivering an operating margin of 11% at this projected industry level would be several percent higher than what we achieved back in 2019 and 2020 at similar industry levels which is another testament to the transformation of the business we've executed over the last several years. Our effective tax rate is anticipated to be 27% for 2024. Turning to Slide 16. Our full year net sales outlook for 2024 is $13.6 billion, down from the record levels seen in 2023. Our earnings per share forecast is approximately $13.15. We've also set a CapEx target of around $475 million, slightly lower than what we spent in 2023. Our free cash flow conversion should be in the range of 75% to 100% of adjusted net income, consistent with our long-term target. For the first quarter of 2024, we are targeting sales of approximately $3 billion and earnings per share of approximately $2.30. Both are significantly lower than the first quarter of 2023 due to lower production in many factories and further inventory reductions in the South American region. With that, I'll turn the call back over to Greg for Q&A.
Greg Peterson: Thanks, Damon.
Operator: [Operator Instructions] Our first question is coming from Larry De Maria from William Blair.
Larry De Maria: Just two questions. Can you give us and help us understand the '24 growth assumptions in the three growth areas, Precision Planting and parts, to help you obviously outperform the market? Secondly, any update on the Grain & Protein storage? Maybe you could help with margins by the two businesses that are in there that if you're at this point considering only selling the whole thing, keeping, splitting up, just any color there.
Damon Audia: Yes, Larry, thanks for the questions here. So if I think about the 2024 outlook and our 3 growth drivers, if I think about Fendt, as we've said in the past, we do continue to expect to see further market share expansion as we roll out Fendt here in North America and in South America. And if I just break that down a little bit more as to our confidence in 2024, we have the new Fendt 600 coming out this year. You may have saw that we announced the next generation 700. A year ago, we announced the new 200 which is more for the vineyards. So we have several new tractors that are coming into the market this year. We have our sprayer which we announced last year. That has full momentum coming into 2024. So overall, we look at Fendt, we're really excited about the different product offerings that we're offering globally and we have a lot of confidence with the team executing with these new products. The second part is our parts business. Parts did exceptionally well this year. Revenues were just over $1.8 billion. As I think you've heard us talk before, we have the industry-leading parts fill rates in North America and Europe and we believe we have it in South America as well. It's been a concerted effort of our team to really make sure that our dealers and our farmers have those parts when they need them. As we think about next year, again, we continue to see the parts business likely growing in that mid-single-digit range. And again, I think that's probably more important next year as the industry slows down and farmers are likely to replace a lot of their equipment with parts. So again, we still see that growing in the mid-single-digit range. The third lever is Precision Ag. I touched in my comments about the performance of the business this year -- or in 2023, excuse me. We still see growth in 2024. And the way I would frame it is given the combination of the retrofit and the OEM-focused Fuse business so that OEM business coming down next year. And despite that -- and despite the industry coming down, we are still likely looking at the Precision Ag in total to grow in that mid-single-digit range in 2024. So a little bit below the long-term target but again, a little bit more influenced by the OEM portion of the business.
Eric Hansotia: And this is Eric. I'll just build on that a little bit. Damon is spot on. We still see more runway in front of us. So the Fendt just -- great products, as Damon talked about. The other half of that is distribution network. We've grown our -- in North America, we've grown our distribution network from about 40% coverage to now 80% coverage. Last time we updated it was at 75%. We grew that another 5 points in 2023. Our target is to get it over 90% in North America. In South America, we've grown that from 0 to -- a year ago, it was 70%. Now we're at 74%. Again, that target is 90%. So we still have -- we have new products coming to the market through our innovation engine. We've got distribution expansion opportunities still in front of us for Fendt. On Precision Ag, still a lot of growth opportunities around the world. We -- in the last several years, we've grown in North America from 350 dealers to 500, outside North America from 50 dealers to 120. And we still have a lot of headroom ahead of us in terms of our distribution build-out for the Precision Ag business. And we continue to grow our innovation around the crop cycle. This year's theme was, as I mentioned, solutions for every season. So although we're growing this year, we still see much more in front of us.
Damon Audia: And then Larry to your second question on Grain & Protein, again, the Grain & Protein business overall did fairly well in 2023, a little bit more challenged in the Asia Pacific region, mainly in China. But profit margins -- or the operating margins in that business grew into the mid-, high single digits here in 2023 as we saw significant improvements, mainly in the U.S. in the South American region. As for the strategic review, I would say that we're still underway with that. We understand the value of what that means to us as a business. We're looking at that externally to see whether someone else can deliver even more value which will allow us to generate the capital back into the company. Your question about pieces and parts, for us, we look at the total value of the Grain & Protein business, between Grain & Protein being somewhat countercyclical and then whether that complements the traditional AGCO business. I don't see us mainly looking at pieces and retaining a portion. I think for us, it would be we find the value in the entire business and we'll retain it and we'll grow it as we have a plan to do that. And if we feel there's value -- or more value in monetizing that, I think you'd likely see us removing the entire part of the business. But no final decisions. We'll likely make a decision on that probably in the middle of 2024 right now.
Operator: And our next question will come from Stanley Elliott from Stifel.
Unidentified Analyst: This is Andrew [ph] on for Stanley. I'm wondering if you could provide some color on how you're thinking about your sales outlook for next year by segment. I appreciate the color you gave on the industry expectations but I was wondering if you could provide some commentary on inventory levels by region, pricing expectations, et cetera.
Damon Audia: Yes. I think Andrew [ph], on the pricing -- or sorry, on the dealer inventory levels, I think what we saw here in the fourth quarter was an increase in dealer inventory levels pretty much around the world, different degrees. And if I look at North America, I think I said or Eric said in the scripted comments, we were probably around 6 months and our target there is to try to get that closer to the 4-month mark. And so again, we likely will see some dealer -- some inventory coming out of the channel and that's reflected in our outlook of reducing production by about 10%. If I look at Europe, we did increase a little bit here from the third quarter to the fourth quarter, so right around 4 months or a little bit above 4 months. Our ideal number is in that 3-month to 4-month range. So again, we feel like there's a little bit of room there. I would caveat that, that in some segments of the market, our Fendt high-horsepower tractors, there is still dealers who are below the optimal level. So again, it's -- I'm using broad comments when I give you these numbers but there are still pockets of opportunities for us in areas with Fendt. And then in South Americas which we saw the most significant change, as I've mentioned on the third quarter call, dealer inventories hit the optimal level with the significant slowdown we saw there mainly on the retail sales. It resulted in us limiting the sell into the dealers but that's still -- dealer inventory levels still were a little bit over 4 months on tractors and a little bit over 6 months on combines. And for us, ideally, we want to get those inventory levels in the 2-month to 3-month range. So again, as we talk about the production cuts, those will likely be more outsized in South America in 2024 versus other parts of the world as we look to rightsize that inventory level. Pricing, as I said in my comments, we do expect things to become much more normalized as we go into 2024 here with pricing at right around 1.5%. And it's hard to break that down by geography or product type given new product launches and things of that nature. But directionally, we're looking for a more traditional level of pricing as we go into 2024. And I think, rather than tie up the time going region by region on this call, I know there's usually follow-up calls we'll have with Stanley. And we'll sort of give you a little bit more clarity on that at that point in time.
Operator: And our next question comes from Kristen Owen from Oppenheimer.
Kristen Owen: Sort of a follow-up on some of the regional dynamics. Obviously, the very acute margin in South America in 4Q, I'm just wondering if you can talk to some of your assumptions for margins by region in 2024. That's obviously been such a strong contributor to the overall profitability of the company but still very strong in '24. So I'm hoping you can provide some color on the regional margin outlook.
Damon Audia: Yes. So Kristen, if I just look at maybe South America and then if we want, we can go into maybe a little bit more detail on other regions, if you want to follow up on that. But South America, again, had a very challenging fourth quarter given some of the comments that I made in the market. We still see that inventory levels being adjusted likely in the first quarter. So the factories are going to be down significantly year-over-year, that with likely some slow ramp-up of the retail sales. So we're sort of expecting to see the South American margins in that, what I'll call, that mid-single digits in the first quarter. And then as that dealer inventory improves, our production levels hopefully will normalize. We'll start to see that pick up in the second quarter. And then as the new financing plans for the crop plants kick in, in the third quarter and the fourth quarter and the industry hopefully becomes more stabilized, we see that getting back to those mid-teen margins which is what we've been planning for South America to be at. And again, I think you remember, the margins the last couple of quarters have been exceptionally strong given the strength of that market. But we sort of see South America as a mid-teens market and we expect that to be sort of the second half outlook for South America.
Kristen Owen: Great. And then a follow-up to Larry's question earlier on some of the growth assumptions and those growth pillars. You said parts revenue, just over $1.8 billion. That's approaching nearly 15% of your sales. And you're calling out growth in that business for next year. Just wondering if you can help us sort of do the math there or at least understand how that is helping support this through cycle margin target that you've got out there.
Damon Audia: Yes. I think the key is, again, this is -- we've talked about parts is 1 of our 3 high-margin growth businesses. And again, it's the credit to the team as a concerted effort in really focusing on fill rates. They've done a lot of work to improve the fill rates. We've put some inventory in different parts of the world to ensure that we have better fill rates in places like South America. As we're leveraging more digital tools with our farmers, leveraging more of the connected machines with our dealers and leveraging more of the connected machines with the farmers, we're getting a lot more visibility, better predictability, better engagement with the farmers and the dealers to service that equipment. That's driving the traction that we've seen in the last couple of years. We've seen good growth in our parts business the last several years. And as the team looks forward with that sort of focus, again, we still expect to see sort of this mid-single-digit revenue growth in 2024 with parts as well. So we're still feeling good about that. And again, I think the market dynamics probably lend itself to -- in areas where farmers are more likely to look to replace maybe rather than buy new and that's sort of reflective on our overall industry decline. So we feel really good about this business and the team that we have driving it in 2024.
Operator: We now have a question from Timothy Thein from Citigroup.
Timothy Thein: Apologies in advance if I missed this as I was going back and forth on calls. But -- and -- but maybe just going back, I did hear your comments on kind of getting to -- ideally getting back to kind of a mid-teens margin in the second half in South America. And I'm just curious, from the standpoint of a lot of the -- or not a lot but some of the benefit in recent years has been that AGCO and others have been benefiting from a significant pricing tailwind. And as that normalizes and given all the issues that you and others have in South America from an inventory perspective, does that -- I understand you don't want to be overly descriptive on this from a competitive standpoint but does that -- do you need a price/cost -- I guess, how would price/cost then play into that in terms of getting back from a low single-digit to a mid- to high teens? Do you need to be on the cost side there? Or can you get there just from -- on just operating leverage and volumes? Hopefully, that question makes sense.
Damon Audia: Yes. Tim, the answer is a little bit of both. We do need the operating leverage, obviously, as we need to generate the absorption through the factory to get the leverage. Our expectations are that we will be price/cost-positive in 2024, even with that more traditional 1.5% pricing. As I alluded to and Eric would attest this, we are laser focused on our operations to do two things. One is as supply chains have improved, driving better productivity through our factories in better scheduling, reducing the amount of rework, really trying to drive efficiency in the factories based on the supply chain. So that's number one and that will happen around the world. But number two, again, given the constraints that we were working in the last couple of years, we were, I would say, trying to get the products sometimes at any cost to deliver to the farmers. As these have -- as supply chains have normalized, it's giving our team an ability to really go back and challenge the supply base in understanding what is the real cost and where are we able to drive productivity in cost savings. And so we have initiatives within our factories and built into our assumptions that we are going to drive cost improvements through productivity and price downs in our operations to help bolster the margins or stabilize the margins, that 11% that we're telling you about through those initiatives on top of some of the other things that you know we're doing with market share gains, parts growth, Precision Ag growth, things of that nature. So the answer is a little bit of both but I would tell you this, team is obviously very focused on the cost side. In South America, where the markets are most volatile but also in Europe, South -- in Europe, North America and Asia as well.
Eric Hansotia: Maybe just to build on that, too, from a top-down perspective, I think your inherent question is can South America be a profitable region since we had a low profit 1 quarter. Well, the 3 quarters before that were all 20-plus margins. And from a top-down perspective, if you look at is the farmer in South America going to be profitable. We think strongly yes. That's the market where in much of the region you can plant 2 crops, sometimes more. You -- right behind the combine comes the planter and so you're taking off soybeans and planting corn right behind it. It's a tropical climate. It's the area where more land can be put into production, highly intensively planted and harvested. So over the next 20 years, we've talked about for a long time, the world needs more green. Brazil is going to be a big part of supplying the world and that means that the -- and the infrastructure keeps getting better to make the Brazilian farmer more effective -- efficient. So we're bullish on Brazil as a market. We think the farmer is going to be adding a lot of value and profitable. And so then we're doing all the things that Damon talked about to make sure that we can support that farmer in an efficient way with our supply chain.
Timothy Thein: Got it. Okay. Very good. And just on the -- for Europe, maybe just a word or two on -- in terms of the margin outlook in '24. And I'm curious from basically how product mix plays into that. And going back to your comments about Fendt -- dealer inventories being maybe a hair on the low side. And obviously, that can have a pretty powerful impact to margins. So maybe just speak to, as you did with South America, the expectations from a profit standpoint.
Damon Audia: Yes. So -- yes, Tim. So I don't think -- we finished Europe overall, I think, just around -- just over like 14.5%, 14.6%. So just tremendous performance by the team in Europe. Again, you saw our industry outlook there. We have that industry coming down. And so we would expect the margins to contract based on industry and lower overall units. But given some of the strength we're seeing, as I think I mentioned to Larry, some of the new product introductions that we have coming out with Fendt and given the strong presence we have there, I would say we probably should see the margins relatively flat on the full year. Again, it may fluctuate quarter-to-quarter. But for the full year, given that mix of new products that Fendt has coming out, we think that we should be able to keep the margins relatively flat.
Eric Hansotia: And then to build on that mix, like you said, there's a channel element for Fendt. Our new products are coming into the market. In Europe, we've got the e100 coming in, the first electric tractor for Fendt. And on the low end, Turkey, we think, is going to contract as a market, or at least not nearly -- not grow nearly as much as it has. And that's a low-horsepower, lower-margin market, in general. So there's -- although the overall market is cooling, there's a lot of positive mix elements embedded in Europe.
Operator: We have a question from Tami Zakaria from JPMorgan.
Tami Zakaria: So just wondering, can you update us on the Trimble JV? Do you expect it still by mid this year? And do you expect the JV to be accretive in year 1?
Eric Hansotia: Yes. So JV is going right on track. We've hired an outside partner to help us with integration planning. That's going extremely well. We've got a lot of good cooperation, teamwork, culture building, plan generation happening on every element of the business to make sure that we're ready on day 1 and that we can capture the synergies of bringing these 2 great businesses together and serving farmers better than anybody else in the industry. Regulatory approval is tracking according to plan. We've already gotten approval from several of the regions. Still have a few that are in process but that's proceeding as planned. And according to the time line that we out laid, we think it will be in the first half of this year. And then, we still are on-track -- we still are standing behind our commitments of short-term accretion and longer-term growth to a $2 billion Precision Ag business being the industry leader in serving mixed fleet Precision Ag farmers all around the world, whether it's through retrofit or serving over 100 other OEMs in a very confidential and unique bespoke way or through AGCO machine enhancements. We're really excited about that.
Tami Zakaria: Super helpful. And then one quick question to clarify something. So your production hours are expected down 10%. But sales, you expect down 6% this year. And pricing up 1.5%, I think you said. So help me understand, what's the bridge from sales down only 6% versus production down 10%.
Damon Audia: Yes. So I think, Tami, you're looking at some parts growth, you're looking at Precision Ag growth, looking at some Grain & Protein growth in there and then obviously, mix, as I alluded to, for -- specifically in Europe with some of the new Fendt products. So directionally, that's what's driving the differences.
Operator: Our next question comes from Seth Weber from Wells Fargo.
Seth Weber: I wanted to just think about North America margins for '24. Specifically, on the Precision Ag business, I know you're kind of moderating your growth rate there. But there were a lot of disruptions with the supply chain and stuff in -- over the last couple of years. So is there any reason why your Precision Ag margins shouldn't be up in 2024 versus '23, even with more moderate growth this year?
Damon Audia: Yes. Seth, I don't -- Precision Ag margins have been relatively -- the gross margins, again, when I think about the products have been relatively consistent. We are seeing the revenue has been fluctuating but the pricing and the margins we're getting have been relatively stable. So I don't see any real significant changes in overall margin related to that business as we go into 2024.
Seth Weber: Okay. And then just in your prepared remarks, Damon, I think you were talking about efficiencies, cost cut -- cost measures and stuff like that. Is AGCO actually planning any more proactive cost actions? Or is this all just sort of normal course of business, your normal sort of efficiency measures that you usually do? Or is there -- are there more kind of structural actions that you guys are contemplating in this softer environment?
Damon Audia: Yes. The way I would look at it, Seth, is when -- as we look -- engage with our supply base, I would say there's a heightened level of focus, incremental to what you would probably see in a normal year. So I would layer that on as -- that's additional to the day-to-day operations is driving cost down in the supply base versus where we were in the last couple quarters -- or last couple of years. As I think about the larger scale, if you're referring to like an SAG restructuring, things of that nature, again, right now, we're not announcing anything like that. We're watching the markets. We're -- I go back to that value-creation line that we've showed you guys. I showed it in the slides today. We're going to measure ourselves relative to that line, understanding where the market is, what the team is able to deliver in productivity and that's on the SAG side as well. And to the extent we're not meeting that or the markets are weakening more, we're going to look at all alternatives. I would also tell you that the team is being very aggressive as we move into these global businesses, global brands, as we talk more about Fendt as a global brand, trying to look for back-office consolidations. Again, you don't hear us do anything in a broad brush announcement. But we are looking to create commonality and a common skeleton within parts of AGCO that create efficiencies for us longer term. So I would say we're doing that in 2024 as well. But again, nothing massive that you're -- I think if you're alluding to a large restructuring, we're not announcing anything like that, obviously.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Eric Hansotia for any closing remarks. Please go ahead.
Eric Hansotia: Yes. Just briefly, I'll close today by saying thank you very much for your participation and your support of our -- of AGCO. We're really proud of our performance through 2023. It was an absolute record year in so many ways for our customers, for our employees, for our investors. It sets us for a -- on a trajectory path for our results to be much more resilient through the cycle. And we've been talking about that for a couple of years now and it's all coming home to roost and I would hope that you're as excited about that as we are. The key to our success is the continued execution of our Farmer-First strategy. Our focus is on growing our margin-rich businesses like Fendt, parts and service and our Precision Ag business which we've been investing in heavily over the last few years. The announcement of the pending AGCO-Trimble joint venture represents the biggest agtech deal in history and will enable AGCO to become the global industry leader in mixed fleet Precision Ag solutions with our unique focus on retrofit solutions. Over the last few quarters, we've touched on many of the factors supporting our markets, including growing populations, changing diets, low stocks-to-use levels, increased demand for biofuels and relatively healthy commodity prices. All of these trends give us confidence in the long-term health of our industry. We're excited. We look forward to seeing many of you in the coming weeks and months. Thank you and have a great day.
Operator: The conference has concluded and you may now disconnect. Have a great day.